Operator: Good morning, everyone, and welcome to the Coca-Cola FEMSA Fourth Quarter n Full Year 2017 Conference Call. As a reminder, today’s conference is being recorded. And all participants are in a listen-only mode. At the request of the Company, we will open the conference up for questions and answer after the presentation. During this conference call, management may discuss certain forward-looking statements concerning Coca-Cola FEMSA future performance and should be considered as good faith estimates made by the Company. These forward-looking statements reflect management's expectations and are based upon currently available data. Actual results are subject to future events and uncertainties, which can materially impact the Company’s actual performance. At this time, I would now like to turn the conference over to Mr. Héctor Treviño, Coca-Cola FEMSA's Chief Financial Officer. Please go ahead, Mr. Treviño.
Héctor Treviño: Good morning everyone and thank you for joining us to discuss our fourth quarter 2017 results. Let me start by saying that 2017 was a very challenging year. However, our positive results clearly underscore of ability to adapt to complex environments, characterized by raw material cost pressures, especially sugar prices in Mexico, microeconomic issues in many countries where consumers continue to suffer from currency volatility and higher inflation such as in Mexico and Argentina, and the complicated consumer environment were limited this possible income leads them to shy away from our categories such as in Columbia and Brazil. Nevertheless, we continue to successfully navigate this aggressive environment to maintain market, reflecting our capacity to satisfy consumers that diverse lifestyle with a variety of better choices to our winning multi-category portfolio. Our strategic affordability initiatives building on our robust platform on return on presentation and inter-pass at magic prices and our accident point of sale execution. All of these capabilities coupled with our financial discipline to ensure a more lean cost structure enable us to protect our company’s profitability for our shareholders while we continue to work to strengthen our capital structure and financial flexibility. Our Mexico and Central America division reported a quarterly volume construction of 1.4%. For the fourth quarter, our Mexico operations volume contracted 2% while our Central America operations achieved 6% volume growth. In South America, we reported volume growth of 8.7% including the results of our acquired Vonpar-franchised in Southern Brazil. For these divisions Argentina’s volume remain flat, Brazil reported 7% organic volume growth and Columbia and Venezuela reported volume contractions of 6.8% and 70.2% respectively, as we continue to experience a difficulty consumer environment. In the Philippines, we achieved volume growth of 12.6% building on our 2.8% growth in the fourth quarter of 2016. For the fourth quarter, our consolidated reported revenues increased by more than 11% still what in line with the 12% increase in gross profit our margins that we've successfully protected even with cost per issues in some countries. Our operating income increased by 5.8% due to higher freight cost and higher fuel price across our territories and the negative effect of Venezuela for the quarter. Our operating cash flow grew 4.6% for this quarter. These important figures include our result from Venezuela, the Philippines and our acquired 1% of Vonpar franchise territories in Brazil. As we announced as of December 31, 2017, the Company changed the matter for reporting Coca-Cola FEMSA in Venezuela to third party in light of the economic environment prevailing in that country. All feel that day, we have been recording a foreign currency translation charge negative which has been reclassified as a non-cash one-time items to all non-operative expenses in our income statement in accordance with IFRS. These resulted in a minority men loss of approximately MAX24 billion and a loss per share of MXN11.54 for the quarter. On a comparable basis, earnings per share were MAX1.85 versus MXN1.39 in the same period of the previous year. It is important to highlight the Coca-Cola FEMSA Venezuela will continue operating in Venezuela and its fair-value will be reported in the investment in shares line of our balance sheet going forward. In an effort to explain to organic performance of the business, we exclude the negative impact of Venezuela. The positive results of Vonpar that are already reflected starting in December 2016 performing the results of the Philippines and on a currency neutral basis. Our consolidated comparable revenues rose 5.7% driven mainly by other price increases in Mexico and Argentina and copper with volume growth in Central America, Brazil, Argentina and the Philippines. While our comparable gross profit grew 9.2% more over our consolidated comparable operating income increased 13.3% and our comparable operating cash flow rose 12.5% compared with the fourth quarter of last year. Notably our comparable net income applicable to equities of the Company was MXN3,895 million and earnings per share were MXN1.85 an increase of 32.7% compared with the fourth quarter of 2016. I will briefly discuss the highlights of the quarter for each of our operations. In Mexico, we deliver 5.1 revenue growth, resulting from pricing ahead of inflation that was partially offset by a low single digit volume decline as a result of extraordinary weather in the quarter. In November we increased prices ahead of inflation to compensate for our insurance cost and expenses. We saw a slight shift from single-serve to multi-serve presentations in our sparkling beverages mix compared to 2016 while our number turnover to return over 5% mix remained the same. Coca-Cola Sin Azucar or no sugar continued its positive performance, outpacing the volume of Coca-Cola light. With this in mind we continue to increase the mix of long term beverages in our cola portfolio. As part of our broad portfolio and aligned with our value versus volume strategy, we increased our transactions ahead of volumes with our 354 milliliter and 235 milliliter cans now available for both colas and flavors. Fostering innovation in our flavors sparkling beverages, we launched Coco Nara in December a new flavor within our Nara segment that is now available in 600 milliliter and 2 liter presentations. As part of our strategy to become a multi-category beverage leader, we enter a new beverage segment with our successful integration of the AdeS portfolio in our points of sale in Mexico, offering our consumer an array of plant-based beverage choices. For the quarter, our Mexico operations top line growth enable us to protect our operating income even with higher cost on expenses resulting mainly from favorable foreign currency hedge, higher sugar prices which increased close to 16% compared with the same period of 2016 and higher concentrate prices and incremental diesel and gasoline prices. In Central America our volumes grew close to 6% building on positive volume for the year. For the quarter our four operations in the region reported volume growth, notably we achieved double digit growth in Guatemala coming from the implementation of our pre-sell model. Driven by our affordable strategies in Central America our price mix had an impact on our revenues as compared to last year, also affected by the translation effect of the depreciation of the currencies as compared to the Mexican peso. During the quarter our sparkling beverage growth was mainly driven by brand Coca-Cola and its extensions, highlighted by our recent launch of Coca-Cola Sin Azucar in Costa Rica, Panama and Guatemala. Integration of master in our portfolio generated incremental volume in this still diverse category. During the year, we launched Monster in Nicaragua, available in a 473 milliliter can. In our water portfolio, we reported high single digit volume growth coming from the positive performance of our 1 liter PET presentation. In Central America, better volume and a benign raw material were offset by a change in price mix driven by our affordability initiatives and now we’d like to market implementation that increase our cost of per serve. Our South America division continued to show positive signs of recovery in Brazil and Argentina while Colombia and Venezuela continued to experience a complete consumer environment. In Brazil, our fourth quarter results show a positive trend compared with previous two quarters with 7.4% organic volume growth. Including our Vonpar-franchised territory, our volume grew up to 21% for the quarter. Indeed, we close the year with four straight months of positive organic volume growth with transactions outpacing volumes and positive performance across all of our various categories. Our revenues in Brazil grew 14.3%, as our average price per unit case in local currency was lower compared with the earlier period due to promotions and discounts for the big season. Our launch of Fanta Guaraná has been a success. This major launch our operations largest many years now represents more than 7% of our flavors sparkling beverage portfolio. In Brazil, Monster is outperforming expectations. After beginning from our very low brand base, we significantly increased covers across our channels closing the year with encouraging model growth December 2017. We successfully integrated AdeS into our Brazilian operations portfolio. AdeS offers an array on nutritious choices for our consumer to enjoy including soya juices, soya milk and keep problems. Together with our positive volume performance, the nine raw material and currency cost and cost and expenses reductions, we achieved positive profitability in Brazil, significantly expanding our operating income and EBITDA market. A year after integrating Vonpar, our plan continues on trust and we expect to deliver more than our targeted synergies. We rapidly improved our point of sales execution while successfully expanding our portfolio of the turnover PET presentation with significant volume and cover gains throughout the territory. In Argentina, we reported flat volumes for the quarter. Our strong volume growth in October and November was offset by a volume contraction in December. To our focus on more interaction with our consumers to affordable entry packs, our transactions rose ahead of volume and our single surface temptation continue to grow in our mix. During the quarter, volume of brand Coca-Cola was positive thanks to the performance of Coca-Cola Zero and Coca-Cola original. While satisfying our consumers' diverse lifestyles with our wider array of choices, Fanta Zero and Sprite Zero continue to deliver strong results in the flavor sparkling beverage category. Our still beverage category continued to deliver strong results, thanks to the integration of AdeS portfolio the recent launch of Cepita syrup and the positive performance of IC Juice Brand. In the wider category, we recently launched a new 500 milliliter PET presentation for our key brand. With the formulation of our brands, our zero and low calorie portfolio reached 30% of our sparkling beverage volume mix in Argentina. Our revenues group loss to 4% and we maintain pricing in line with inflation. Top line growth and cost and expenses efficiencies enable us to increase our operating income and achieved EBIT and EBITDA margin expansion. In Columbia which is offering the longest GDP growth since 2009, a prolonged negative consumer competency affecting our industry resulting in a 6.8% volume contraction. On the right side, our Cola mix and our market share in this sparkling beverage category peaked, our historical levels in December. Our affordable strategy through returnable PET presentation is now available in all of our Columbia’s major cities enable us to more than double our volume in this package. Additionally, we have increased our mix of non-caloric options such as Coca-Cola Sin Azucar which is growing, achieving double-digit volume growth throughout the year. In addition, better sugar prices combine with the stable Columbian Peso and an aggressive result showing our cost and expenses positively contribute to our operating income. In light of Venezuela prevailing economic environment, we recorded a volume contraction of 17% for the quarter. Our local team continued to involve our values partially serving our consumers and working every day to strengthen the differences of our portfolio in the market. In our Asia Division, for comparable purposes we’re describing the performance of our Philippines operations as it was consolidated larger considering the full three months year-over-year. For the quarter, our grew 12.6% with October and November showing the stock performance and December, January double-digit growth as our consumers prefer ahead of the tax reform that it started in January 2018. During the quarter, we achieved double-digit volume growth in this sparkling beverage category driven mainly by double-digit growth in brand Coca-Cola and flavor, our entry packs of 200 million liter and 300 million liter single serve PET presentation continue to deliver a strong results, increasing our number of transactions while improving our mix of single surface in stations to almost 40% of our sparkling beverage need. Our water portfolio which represents 11% of our still beverage category generated double-digit volume growth, thanks to our Wilkins Distilled, Wilkins Pure and our recently launched Wilkins Delight brand of flavor water. Our still beverage portfolios excluding powders grew more than 30%, driven mainly by menu made fresh. Even with our improving mix of single serve presentations our revenue grew less than our volumes but our prices remained relatively flat in nominal terms compared with the fourth quarter of 2016. Our positive top line performance together with favorable of DT prices and cost and expenses efficiencies the level is to improve our operating income and to expand our margins. As many of you know as of January 1, 2018, the government started the implementation of our comprehensive tax reform in the Philippines. We think these two factors attached on sugar-free beverages waiting for PHP6 liters for drinks, using sugar and artificial sweetness, PHP12 per liter for drink using high fructose corn syrup. As such in January 1, 2018, we have packed this excess tax onto the end consumer to an average price increase over more than 20%. Now regarding our financial results, beyond the operating income line our comprehensive financial results decreased 10.5%. This decrease resulted from our strategy of reducing our exposure to net U.S. dollar denominator debt by swapping it for Mexican pesos and Brazilian reals, mitigating the effect of foreign exchange volatility on our income statement. And we change the accounting matter for our Venezuela operation. In future financial statement, we will not have an impact on the line of monetizing position in inflationary subsidiaries. Our net leverage ratio ended the year at 1.74 times and we reduce our net debt during 2017. On February 21, yesterday our Board of Directors agreed to propose for approval at the Annual Shareholders Meeting to be held on March 9, an ordinary dividend of 3.35 per share to be paid in two installments in May and November of 2018. And we continue our journey of transformation to create value across our entire value chain. Our centers of excellence continue to deploy initiatives ahead of plan. In only 18 months, we implemented our commercial digital platform across six countries and more than 7,000 routes. We plan to roll out this platform to the rest of our countries in 2018. We are enthusiastic about the preliminary results from our tailored consumer oriented initiatives, our agile opportunity detections and on our better resource and occasion. Moreover, we deploy our distribution and logistics platforms in Mexico and Brazil, and we are testing these platforms in Argentina and Panama to reduce our cost and enhance our value chain flexibility. Now let some close with some key remarks on our results for the year. As I said 2017 was a very challenging year, nevertheless our positive solid results clearly underscore our ability to adapt to complex environments. Our organic results improved compared with 2016, with slightly lower volumes but better gross profits in most of our operations. Mexico's volume remained flat with a positive first half offset by a complete second half of 2017; however, excluding the Philippines from our results for 2016, our operating income remained flat despite the effects of foreign exchange fluctuation and increased sugar concentrate and fuel cost. As expected, Brazil performed positively in the second half of 2017 with a strong growth in profitability offsetting other losses results in our South America Division. We are encouraged by these results looking ahead into 2018. In Argentina our volumes remained flat compared with 2016, marked by an improving trend in the second half of 2017 compared with the first half of the year and a positive outlook going forward. In Columbia despite our volume contraction we continued to gain market share with the growth of brand Coca-Cola, supported by our turnover strategy and to contain cost to improve our margins. Our Philippine's operation outperformed in 2017 after [Indiscernible] year in 2016, achieving 3.8% comparable volume growth and operating income and EBITDA margin expansions of more than 200 basis points. It is still too early to assess the impact of this tax reform on our business as there are other components of these reforms that impact our consumers in a positive way. Furthermore, we saw continuous progress on all of our strategic and operational fronts. We reshaped our competitive actions in Central America including our introduction of pre-sell in Guatemala. We increased our point of sale execution and drove affordability towards all of our territories focusing on the turnover presentations. We grew our non calorie mix and we continued to progress with our digital transformation. Guided by our strategic framework we are committed to reinforce our leading market position as a global beverage company to our diversified portfolio to transforming our operating model through our center of excellence and to driving our cultural revolution that will enable us to continue capturing both organic and inorganic growth and creating sustain our value for our shareholders now and into the future. Thank you for your continued trust and support. And, operator, I would like to open the call for questions.
Operator: [Operator Instructions] And first we will hear from Lauren Torres with UBS.
Lauren Torres: Hector, if you could talk a little bit more about performance in Mexico, I think you noted that volume for brand Coke were down 2.5% in the fourth, and we also saw a modest decline in still. So can you just talk about the trends you’re seeing in Mexico? And as we think about 2018, is thing should look a bit weaker also a couple of strong years? And also continuing on Mexico, we had pressures on the cost side and on the expense side last year, should we think about some of those persisting or thing you get a bit better and thinking about recovery of lost margins this year versus last in light of some of these factors getting a bit better?
Héctor Treviño: Good morning, Lauren. Good question, Mexico, let me try to reflect on what we’re expecting for Mexico. In 2018, the first half of the year, we will have a very tough comparison because last year performance of Mexico volume-wise and price-wise was very good. If you notice on the quarter by quarter basis, it was basically in the third and the fourth quarter that were impacted in our Mexico operations. There is a mix bag of reasons in that obviously we have the very difficult situation with two earthquakes in September and a couple of the hurricanes that hit the country with a lot of rain. Importantly when you segment the different areas of Mexico, you see a very clear underperformance on the states that are near to all this -- all related industries especially Tabasco and Veracruz, and even in Oaxaca. So no surprising the strength that have the lower performance in terms GDP growth are having the lowest performance in our mix of states. And if you're isolated the North part of the territory which is the center of Mexico is having very strong performance is one of the top performance areas of the country for Coca-Cola PET. And obviously Mexico City is the area where you have all -- the confluence of all comparators -- very aggressive marketing initiatives et cetera. So have been said, Lauren, what we’re seeing is very tough comparison for the first quarter a little bit in the second quarter and then each year comparison this year versus 2017 on the third and fourth quarter. When we compare with other CPG companies and some of the retailers, the numbers that we delivered in the fourth quarter similar to other companies are doing this. A consumer that was hurt by very high inflation that was totally out of control. Remember back when Mexico is shooting for a 3% inflation rate and we hit 6.7%, that was the consumer that was affected by oil prices and gasoline prices. And we have started to see in some of the retail information we have a better performance on -- towards in this year. Specifically, in our operations, volumes for January and February are soft compared to last year, but again we are comparing versus very difficult volume trend that we saw last year. On the margin side, the big impact that we have in Mexico, let me put in this way Mexico was of the 10 countries the one that was that have the most flexibility on parking prices to the consumer and that’s where you saw much better pricing improvement versus a year ago. But at the same time, we have the extra cost of this gasoline and diesel price increases and a very top sugar or sweeter environment. 2017 versus 2016 sugar prices increase between 16% to 17% and we compared versus 2015 sugar prices have increased close to 40% or a little bit in access of 40%. So one of this potential benefits that we see for this year 20118 is that we are starting to see decline in sugar prices, because basically sugar prices have been totally out of the synchronization with international markets. We’re starting to see these prices starting to decline and that’s one of the positive inflection point that we could see in 2018. We have two members that we have in Mexico, our second increase on call center costs start in July and that we certainly have an impact on our cost structure and we need to continue analyze how to improve our margins despite that incident in Greece. So, having said all that Lauren, I think that the summary for the expectation for 2018 is a very difficult first half in terms of comparing volumes. I think that we will have a modernize raw material environment especially sweetness, we have the additional concentric cost and with all of that, I think that we will be able to maintain our margins in 2018 to that we have in 2017. I hope that I answer your question.
Lauren Torres: Yes, very clear. And there just one other part of that question was the brand Coke volumes. Is there anything specific to that number? Or just inclusive of your other comments?
Héctor Treviño: No, I think in general the trends that we are seeing and that basically the same in all the territories. It's a sparkling volume been flat or slightly negative and some growth in the water category and in the distilled category. Sometimes in some of the countries it is important growth. In Mexico, we're seeing important growth of the distilled and important growth of water. And as you said, sparkling suffered a little bit in during these years during this quarter. I don’t think that there is nothing to worry. We have reviewed this statistics of the preference of the consumer for our brand, and they are good, they are as healthier as they were a few years ago in terms of what we call the brand loves for and the consumption price. We are -- as you know in every country, we have these trends of and it's not different in Mexico we have this negative of bringing and affordable to our consumers and therefore it did push for return ability that we are pushing it in every country including Mexico. So I don’t think that brand Coca-Cola is merely any of the specific I think that the capture to more with later and this situation at the end of the quarter but more I called that are weathers and what we have and in our we are launching anything specific with brand Coca-Cola any specific to worry about that our backlog.
Operator: And next will hear from Martha Shelton with BBVA.
Martha Shelton: I was wondering if you could comment on the level of profitability that you think you need to achieve in the Philippine in order to continue to maintain operations. Just trying to get a sense for given that the put option expires in January of 2019, what you are thinking about in terms of what we need to achieve in that market in order to exercise the caller, exercise the put production?
Héctor Treviño: It's a tough question. Let me give you some of the facts. Fact number one, as you say we have a put option overall 2018. So many periods during 2018, we've done exercise the put. Fact number two, we have our Cola option they are ranging in 2012 and we could have a good exercise in that option. Very important for us at this moment and time is fact number three this performance of the Philippines is the better the system have had in the last 15 years. So both the Coca-Cola Company and Coca-Cola FEMSA up to December of last year we're very happy with aiming the business one word. The fact number four is that everything is changing start in January 1st and it's too early to really be able to a value or to value once what is the deferred market, deferred value of the Philippines under new circumstances because as I said in the Company remarks, we have some positive trends in the tax packets and what passed in the Philippines basically more jobs because a lot of infrastructure being built in coming years, the tax rate for the longer parts of the or for the poorest people in the Philippines but on the other hand we have these very high tax on profits, very high tax on oil and gasoline and taxes on tobacco and alcohol. So it's too early to understand what the full impact of this new tax bill will have on our industry. The dialogue that we have started and it’s still too early with the Coca-Cola company is that given these difficulties that we should explore different possibilities including and I want to remark that we are just starting to have this conversation with the Coca-Cola company including the possibility of extending the periods for this option that we have both the put and the cost. I think that in my opinion and obviously we need to negotiate it with the Coca-Cola company, the best outcome for the system is not to be pressured but this specific situation that has started in January 1st and have a little bit more time to digest and to understand the implications for the Filipino market, for the Filipino industry, soft drink industry. I think that's where we are right now, it's we have this option the clearly describes, it expires in January 2019 basically to put back the at the same price that we paid five years ago in dollar terms the Filipino asset, the Philippines asset, we have the option to acquire the rest of the Philippines, and again as I said 2017 was a very good year in terms of improvement and really getting this feeling that we're understanding better and better how to operate in these regions. So we will keep you informed on how this dialogue with the Coca-Cola company evolves, and certainly by next quarter conference call, we'll have some news on that front.
Operator: And we'll next hear from Isabella Simonato with Bank of America Merrill Lynch.
Isabella Simonato: If you move a little bit to South America, Hector, if you could comment on the volume performance in Brazil. How much was organic this quarter? And how you're looking for performance throughout 2018? If you could you discuss your view for consumption in general soft drinks, and I'm not sure if you give any update on Heineken as well?
Héctor Treviño: Let me start with [Indiscernible] something we're going to have. In Brazil, we saw I think a very good performance on pretty much in line to what we were expecting at the beginning of 2017. Remember, we said we’re starting -- we think that we hit the bottom thus what we were saying the first quarter last year and expecting a better trail in the second half and that’s really what’s happened. If you look at organic volumes in the field, we will grow our 7% year-over-year. When you include the volume of Vonpar that was not included in our 2016 numbers, and the report that volume growth in Brazil is very largest 21%, so -- but organically and we need to be careful and that’s why we do all these analysis of the comparable piece to isolate this on time events. So the organic number is 7%. For next year and this -- let me just again comment on this 2017, and the 7% volume was achieved to our combination of maintaining market prices introduction with turnover PET that has brought our average price per case on EBITDA. So when you look at our reported basis, volumes increase 21% as I said, but revenues 740 that to give you an idea that our average price per unit case is lower in Brazil. But that’s where we want to be, if we cautiously are taking the decision to improve the affordability on portfolio to return on packages at the introduction of the small packages for the -- what I'll call the end to packages. Have been said that, we continue to see good performance going forward in Brazil, volumes that are generally have been strong. Somewhere around low single digit numbers, volume growth of Brazil is a good number for our budget. We’ve seen that we will maintain prices at those levels with inflation. With respect to the Heineken situation, there is really not much we can discuss at this time. We still have obligation to keep the confidentiality of the process, as we said in the last conference call, the agreement that we had with Heineken provides for mechanism to resolve the differences. And what I can say at this moment is that, we continue to sell Heineken beers as of February. We need to wait for this mechanism that is valid in context to resolve the situation. On that basis what I can say is well enough.
Operator: And next we will hear from Rafael Shin with Morgan Stanley.
Rafael Shin: Hi, Hector, thanks for the call. I just have a quick question on the Brazil beer. I see that I mean you guys have still a very strong fourth quarter with revenues going on almost 30%. So, I was just wondering if you can provide us with some color on, I mean which brands having a lot of momentum? Is that coming mostly from pricing and FX or volume? Any color on I guess Brazil beer growth could be, would be really helpful?
Héctor Treviño: Well. Good morning, Rafael. Sorry, I had the phone on mute to maybe even not. Brazil beer, we continue to have very strong performance of all the brands but mainly it’s Heineken and Amstel brand. What has happened is that this trend with the consumer where, I don't know their right work is there where formulation of our competitor beer. I don’t know their right work is the formulation, but the fact that they used different grains is apparently -- also fast information we have from the marketplaces that the consumer is not necessarily liking those new formulas. And Amstel beer is growing very importantly from a very low base. And Heineken beer continues -- Heineken brand continues to perform very well. But in general, all prices are doing fine but despite against the volatility and dynamics that you see in the marketplace normally.
Rafael Shin: And any specific channel where you're going more?
Héctor Treviño: No, in all channels, remember Valeria [ph] in Brazil which is very important on premise market and bass, we are growing wit soft drinks and with beers importantly in that segment in those channels.
Operator: And next move onto Alex Robarts with Citi.
Alexander Robarts: Just one on Brazil and the other on sweetener, so if think about this soft drink industry recovery in Brazil this year. How are you thinking about the pace of operating leverage recovery? In other words after this multiyear contraction industry, where are you in terms of capacity utilization? And I guess there are a lot of prior examples of coming off of such a deep recession in Brazil, but I mean -- how do you gauge and think about the pace of getting that to more normalize utilization rate? Is that a multiyear process? It would be really interesting to hear your thoughts on this. Where are you now in other words in terms of capacity utilization? Where do you think you could be by the end of the year? And how long does it take to get to more normalized level? So that’s the first question. And the second is on sweetener. You've talked about the sugar trend in Mexico with some helpful color. When we think about high fructose, your dollar cost in for high fructose this year, if you could tell us, what that is shaping up to be in Mexico versus last year? And then just kind of your sugar outlook and trends for South America this year would be very helpful?
Héctor Treviño: In terms of the capacity continuation, you are reading very well the situation in Brazil. Brazil went through a three year recession in our or reduction in the size of our industry and our company therefore volume. And remember that we've built state-of-the-art plant in the state of Minas Gerais two or three years ago. So Brazil is one of the countries where we have the lowest utilization of our production capacity. On the other hand, we have done some investments to get rid of bottlenecks that we have in distribution centers. We have acquired some distribution centers so that we avoid renting space, and in general especially in cities like Sau Paulo are complex in terms of the space. So we do have some limitation with respect to warehouse, but right now we are okay after some of the investments that we did, so but this is it's better warehouse space etcetera we do not have the same disburse capacity and we have in production capacity. So going forward basically its very good for us in terms of we increase volumes we would just start feeling up some of these extra capacity that we have and conceptually those cases will be more than cases will be same as like the infrastructure is basically the same. We do not need to have major capital expenditures going forward in terms of lack of capacity in Brazil. With respect to your second question with respect to sweeteners especially in Mexico, when I said that in some of these remarks that, sugar prices have increased close to of an excess of 40% over two years and around 16% last year and referring to basically cane sugar. High fructose have continued to have very stable prices, I'll say that it increase 1% or 2% last year in dollar terms obviously we have to -- the volatility of the currency on those prices as you know we have the strategy to continue rolling our partially, somewhat exposure we have to the these raw materials as in terms of entering into hedging in some of these dollar exposure in every country but also in Mexico. So the equation for sweetness in Mexico are very large increase in cane sugar prices over the last two years and kind of stable high fructose prices in dollar terms with volatility that is in there in terms of the FX. Going forward while we are starting to see is that because of these disconnect that the sugar price have some international prices, we are starting to see little by little lower prices on Mexico on cane sugar. In fact fructose, we are seeing a very stable again pricing for 2018. We have been in conversation with our suppliers and prices are stable in dollar terms. Some of the other countries are less for example Colombia we have seen an important results in cane sugar prices, after a couple of year where sugar prices were again very high compared to the international standards. And Brazil prices are pretty much in line with international prices, so we are seeing a good environment in Brazil for prices and Brazil similar to what we do with respect to currencies in Mexico and Colombia. In Brazil, we are able to hedge sugar prices so we do have some hedges for 2018 on a regional level and for the mark to market that we have on those is positive. So I think that I've described very well the sweetener environment for the countries. The extra element that I want to add is that it's probably more the medium and longer term. The Coca-Cola system and I'll say the whole industry is looking at ways of reducing the calorie content of the beverage that we sent to our consumers. The consumers are evolving. It looks like there a bunch of consumers that like the full flavor original flavors, but there are consumers that prefer reduced calorie content on their drinks. So in general I would say that more again medium and longer term, you will see a reduction in the amount of sugar that we need to buy because we expect that the mid cal and zero cal will be growing in our portfolio mix. Thank you.
Operator: And next we'll move to Antonio Gonzalez with Credit Suisse.
Antonio Gonzalez: I just have two quick ones, first a follow up on the Philippines. I presume that part of the strong volume performance that we saw in the fourth quarter was just some of your clients building up inventory ahead of the tax increase now. So I wanted to ask if you'd be able to comment, what you've seen so far in 2018, and I mean are you seeing a decline in volumes worse than what you should expect for the rest of the year, as these inventory built up gets depleted Or do you think that rate of decline has normalized already? And would you have any guesstimate I guess at this point that you could share in terms of what sort of elasticity you would be expecting? Or it's too early to share any of these points?
Héctor Treviño: Good morning, Tony. I guess as I point out in the remarks, clearly the double digit performance in December, in my opinion, was also influenced by the fact that the tax everyone -- the retailers knew that the tax was coming starting January 1st. So have been said that, January was a month where we saw decline of around 17% to 18%. Having, all having increased prices in excess of 25% or increased prices to the consumer because -- just because of the tax impact. So in general, we were expecting a little bit decline because we think that elasticities in country like the Philippine that have very low per capita income or lower per capita income than some of the Latin American countries and lower consumption per capital, in other words the use of soft drinks in the normal diet is high compared to Asia that is now compared to Latin America. So we’re expecting elasticities -- elasticities . So at the end of the day, Antonio, around faced too early to know, if there was some inventory built up, we were surprisingly built up volumes figures in January only declined 17% to 18%. We’re expecting a higher number given price increase that we pass to the consumer. But the other part is that some of the competitors have had some this array with the pricing strategies on, not only consumers increase prices in excess of the tax and then reduced the price again by the end of January. So the industry is still again stabilizing and getting to what again in the native level. What has happened right now is that we have passed almost all of the cost impact to the consumer because of maintaining some price points, we’re a little bit short of passing the full effect of the tax, and because of that now we have in the market place something that we haven’t had for many years, which is high rated prices with Pepsi Cola and Icy Cola in some of the package. But for last five years, we have our product price and EBITDA ahead of our competitors. And in this price adjustment and this, then we use the word this array that was created during January with everyone running to move the price list and all of that, that is what is what is created a bit momentum. The conclusion for me is, Tony, it's still too early to fully get an understanding of what the impact of these would be.
Antonio Gonzalez: That was very clear. Thank you, and if I may just very quickly a follow-up on Venezuela as well, beyond the rate that you use to translate results and method that you used to consolidate. Can you give us a quick update please on what’s the status of your lines and warehouses and production facilities? Are you permanently shutting down any lines at the moment or that's not the case?
Héctor Treviño: The short answer is we’re carrying a lot of problems finding purpose, but all the production lines all the distributor centers continue to work with very low capacity utilization. Remember that in Venezuela, it is very difficult to adjust headcount as you can imagine. So, we have our full production plants all of them running. In theory and we were selling close to 20 million unit cases per month and now we're selling 5 or 6. In theory, we could have shutdown some of the faculties. We're not doing that because we need to understand what the future of Venezuela is. Also have some plants are working, we're maintaining workforce. We are using all levers for salaries. We are using all levers to buy raw material. And I think that the decision that this board directors following the recommendation of management of basically the consolidated Venezuela, but our normal is an accounting adjustment, but basically what we want to do is to have a much more stable income statement going forward as we will not be reporting or we would not be consolidating Venezuela in our P&L, but you will only see a line in our balance sheet saying imbed shares that the value we have, right now that’s around P1 billion around $50 million. And the only impact that we will have going forward in our P&L is in case fair value will call for an increase or a decrease in the value goes that embedding shares that we have in our balance sheet. So, I think that given the difficulties in operating environment, I think that we will bring much more stability I guess to our P&L, I will not say transparency that we will all be very transparent and an isolating Venezuela of single operations when everyone understand what’s happening there. And as we said in the remarks and our press release, it’s just an accounting adjustment and we will continue to operating in Venezuela as normal. Again selling products, collecting revenue from our clients, using the Oliver will collect to pay salaries and to buy raw materials and let see what the value of this operation might be in the future.
Operator: And next we’ll move to Luca Cipiccia with Goldman Sachs.
Luca Cipiccia: Just a quick one, I was hoping if you could share some comments about the dairy segment and not so much about the quarter, but how do you see that sort of casualty development and the relevance within your portfolio not only in Mexico, but maybe also in Brazil that now starting to get better? You made now an inroad in transparent beverages, dairy seems to be an area that is somewhat that represented in Brazil compared to other markets and even looking at some of your peers. And some assets came up few months ago, I guess it participate in that opportunity. But, I was curious to see how you see that category going forward. How important it will be and whether it can also have some role to play in Brazil in dairy?
Héctor Treviño: Dairy is a category that is very different from soft drinks, but very I guess compatible with our capacities especially when you look at ambient products because you can use again the red top and the capillarity we have and the number of these as we do the devices we have with our pre-sellers to mange an increased number of SKUs. So clearly dairy is a very important category in the future of our company. Where are we? We have Estrella Azul in Panama that has not been performing that well financially. We are in a very important transformation Phase. We have a new state-of-the-art, a plant and will be up and running basically at the speed price. By midyear, we will finalize the closing of the old plant and starting the new one. So in Panama, we have this issue of having building a new plant and still operating in the old plant. And we're starting to open some of the lines in the new plant and having double number of people because of those two plants. We have at Santa Clara in Mexico that is growing very well, it's doing very well market share wise where again very small base that as we get, as we have access to the number of stores with the products that we have or the most increasing double-digit importantly every month. In the Latin America system, we also have Toni in Ecuador where are deriving some learning's. And we have Verde Campo in Brazil, which is very important element in our design of the value added there is going forward. The innovation that we can derive from Verde Campo is very-very important. So the efforts that we are doing at the system is how do we better and let me use the word, "integrate" in the good sense, integrate meaning derive good practices, products examples of what people have done in Ecuador or example of the thing that we're doing wrongly in Panama, the things that we are doing well in New Mexico. And as the Latin America system custom, we improved from there. And obviously also to consider the fact that we have with our partner the Coca-Cola company a tremendous array of formula and brand that we can start deploying. And let me give an example, in Mexico, we are using this flavor milk that normally was to attract kids and to use that in the so-called lonchera in Mexico, the bag that the kids will take to school. And we are presenting now a new formula in that plastic and a full body label of products which are flavored drinks for young adults and adults, which we are targeting with new formula. We are launching order the Barista brand a ready-to-drink coffee, cold coffee drink that we think that we would successful and it has a very good price point, a niche product that we have good profitability. So those are these kind of things that we're targeting to develop in the future and certainly Brazil is an important market for that. There is all this controversy of, should we -- should do we present where fluid milk in order due to be able to have value-added products in the market place or can you just use this -- Keith, can you just be present value added drinks without having to compete the more -- on the more I guess supermarket fluid quite milk products. So at the end of the day, this is more than what we are thinking and seeing that, in general we are very pessimistic of the future of this within our portfolio. And as I said the fact that the Coca-Cola company has all over the world, all their products including the sunlight approach in the U.S. where we have formula, I think that will position us very well to better serve this opportunity or this category in the future.
Luca Cipiccia: Hector, it’s very clear. Thank you for the discussion of explanation. Just on this last point about value adds with milk, without milk. How can you separate or be successful in the value-add without the rest? Does the willingness to maybe sort of embrace the dairy category more broadly in markets especially like Latin America, that resistance is it more from sort of a Coca-Cola global strategy standpoint? Or is it something that you know the bottlers you don't see as necessarily the successful to do it? I think it's a fair question now and at some point if you want to have scale, you know not add one without the other. That would be an argument, but when do you view I think Tony in Ecuador is a little bit of both discussed more balance, but when do you think this view is going to become more, more clear if you want to scale the dairy business.
Héctor Treviño: Luca, In general what I can say is that we have worked together with the Coca-Cola company and not the bottlers to really understand better all that is involved with this. As I said we have not such good experiences such as with Panama, very good experiences like with Santa Clara and Mexico. We are very clear that at some point in time we'll have to scale this business and broadly that will imply M&A transactions. But that has not been fully defined, so some of the transactions that have happened recently probably were not at the right time for us because we are refining that definition space.
Operator: And next we'll hear from Joao Soares with Bradesco Bank.
Joao Soares: Hector, I was wondering if you could go back a little bit on Argentina and Brazil as well and talk a little bit about prices. How should we see the environment 2018? And do you guys expect to be a little bit more aggressive in terms of pricing? I mean here your competitors have a little bit more discount in order to resume growth. Can I think a little bit more that you're going to -- prices have been lined above inflation, how should we see that of 2018? And my second question, I understand you can't speak much about the Heineken process, but can you talk a little bit about your plan B? I know -- are you negotiating rather third parties to provide distribution services? Can we think that you’re going to compensate for those revenues? How should we see this?
Héctor Treviño: You’re the second question, I didn’t follow. The first one is very clear, pricing, but let me answer the pricing and then you ask again the second quarter. Pricing in Argentina and Brazil, going forward, the strategy for 2018 is to continue pricing individual packages with inflation or little bit ahead of inflation. In Argentina, it's a little bit more difficult given the level of inflation that we have. I mean inflation is coming down importantly, but during 2017, we saw inflation hitting 25%. So that implied increasing prices at that level, some months you're a little bit ahead of inflation, some months you're a bit below inflation, but in general, the strategy to price with inflation. In Brazil, inflation has come down importantly and the strategy is the same; however, in Brazil we’re pushing very importantly for returnable packages. That might bring the average price per unit case a little bit below just because of mix effect. The Brazil strategy will be again to summarize. Pricing renewal package is occurring to inflation to maintain package in real term of the pricing levels and then we might see a little deterioration of the average price because of mix effect. And can you repeat the second quarter, please Joao?
Joao Soares: For the second question, briefly, I just want to understand if you have a plan B or backup plan for -- I mean if the Heineken process goes sour, are you considering going to other third-party industries? And there are other beer companies or maybe even other categories that you're willing to provide distribution services in order to compensate for the beer revenue that you might lose given the Heineken agreement terminated?
Héctor Treviño: Right now, it’s a difficult question because obviously a plan B has crossed our minds and we need to be prepaid for that. But right now all the efforts are focused on finalizing this difference that we have with Heineken. As I said in our conference call, our will of the agreement that we have with Heineken is that this agreement will terminate on October 22nd -- excuse me, until 2022. So right now that’s where we’re, we cannot do anything regarding plan Bs or whatever. Obviously and the scenario where Heineken is independent from consistent, for us, beer is an important element, because as we said most of the retail system in Brazil sells beer and soft drinks together. So there is an important element of maintaining at lower cost per unit case in terms of distribution network.
Operator: And at this time, I would like to turn the call back over to Mr. Héctor Treviño for any additional or closing remarks.
Héctor Treviño: Thank you everyone for your interest in Coca-Cola FEMSA and as always, if you have any doubts, our telephone lines open for any future questions. Thank you.
Operator: And that will conclude today’s call, we thank you for your participation.